Sam Walsh: Thanks very much, John and good morning, all. Really pleased to be able to make it here and for those who are on the phone lines, thank you very much for joining us. Let me welcome you to Rio Tinto’s 2015 results. The past year created some exceptional challenges for the industry. But against this backdrop, we’ve again delivered a very robust set of results. We continue to focus on running Rio Tinto efficiently and delivering shareholder value, not just for today, but for the long-term strength and success of the business. Our combination of Tier 1 assets, operating and commercial excellence and capital discipline has allowed us to protect margins, and deliver strong cash returns to our shareholders. This is an environment, where further decisive action is required. And only those companies with Tier 1 assets, strong balance sheets and strong controls can succeed in this market. We’ve continued to deliver sound results and to meet our commitments. And today, we are announcing continued pre-emptive action, to protect long-term shareholder value, and ensure that we can deliver sustainable returns to shareholders. Our financial results reflect the relentless efforts of all my colleagues over the past three years. I truly thank them for their support and importantly the speed with which they have embraced the cultural transformation the business has undergone during this period. As you would expect, let me start with safety. As I’ve said before, a culture of safety is central to Rio Tinto. A well run operation is a safe operation and forms a core part of our commitment to all our stakeholders, especially our employees. Over the course of this year, sorry last year, we improved our safety, as measured by all injury frequency rate. However, tragically, we had four fatalities during the year. My thoughts and my prayers are with their friends and their families. Fatalities just have to be eliminated and we’re all focused on achieving this and let me assure you there will be no compromise on safety. So turning to our results. We’re reporting underlying earnings of $4.5 billion. Our focus on cash remains relentless and net cash generated from operating activities was $9.4 billion. We continue to take costs out of the business, and in 2015, we reduced our cost by a further $1.3 billion, beating our revised target of $1 billion. We cut our capital to $4.7 billion, again, better than guidance. But importantly, we achieved these reductions, through efficiency, focus and discipline. We continue to invest in order to ensure that we maintain the quality of our assets, and we deliver value accretive growth and we protect the long-term value of our business. Last year, in total, we returned $6.1 billion to our shareholders through an ordinary dividend of $4.1 billion and a buyback of $2 billion. This business is focused on delivering returns to shareholders. So, we’ve invested in the business. We’ve made cash returns to shareholders, and yet again, we finish the year with our balance sheet in a very sound position. Our net debt of $13.8 billion is $700 million better than the pro forma position that we showed you 12 months ago. It’s a truly exceptional outcome. In the current environment, a strong balance sheet combined with sound cash flows are two essential characteristics, which we do not underestimate nor do we take it for granted. Chris and I were appointed in early 2013, and we took decisive action from the outset. And 2015 has been a continuation of the same journey and the same focus on long-term shareholder value. We’ve reduced our costs by over $6 billion during these 3 years. Protecting margins and cash flow is key. And we raised $4.7 billion from the sale of non-core assets, which has been recycled back into the business. We significantly reduced our capital expenditure. We continue to invest for the long-term success of the business, by constantly seeking efficiencies in our capital spend, in order to guarantee the best return from our projects. We targeted working capital as an area for improvement and we’ve released over $3.6 billion of cash from working capital to date. Our focus on working capital has built a culture and a mindset that puts efficiency and control, right at the heart of our everyday business. And this is best shown by our trade working capital, down a further $2.3 billion during 2015. This is an outstanding example, you’ve heard me say this before, an outstanding example of our people acting as owners. As a result of these actions, we’ve taken since my appointment as Chief Executive, we’ve returned over $13 billion of cash to shareholders. We promised that we would return cash to shareholders and we’ve delivered on that promise. As you can see, these returns have not been at the expense of your balance sheet. We’ve retained focus on maintaining its strength. A sound balance sheet provides the foundation for future returns. We finished the year with net debt of $13.8 billion. And our debt position, I don’t need to tell you, is transformed from three years ago. A further outcome of our actions has been margin stability. Tier 1 assets with tight operational control ensured that we continue to generate strong cash flows and to protect margins and profitability. The success in the Pilbara has been remarkable. In the second half of 2015, we reduced our C1 costs to $13.80 per tonne, which of course includes the benefit of weaker Australian dollar and lower oil prices and a lot of action by the team underground. If we use spot prices at the end of January, this $13.80 would be equivalent to $13.20 per tonne. And I should highlight that our C1 cost is an all-in measure, which includes SG&A. EBITDA margins at our Aluminium business increased year-on-year to 31%. I believe that statistics show that we have the best aluminium business in the world. Their performance was assisted by further portfolio optimization and cost reduction. Bauxite saw both growth in exports and stable pricing. This is a good outcome and, although market premium have contracted from their recent highs, we will continue to protect the business with around $300 million of cost savings to come in 2016. Copper and Coal realized just over $1 billion of free cash flow, thanks to the continued focus by Jean-Sébastien who is here today, and his team. And the team has now delivered $1.9 billion in savings over the past three years. And we’ve made good progress on divestments, with two further sales announced during the past six months, which will generate over $800 million in cash. Diamonds and Minerals also sustained their cost momentum, lowering their absolute costs by around $500 million compared to 2014 and this excludes any currency benefits. The product group continues to align production with market demand. Reflecting on the strength of the business and the results delivered today, we are honoring the promise of the progressive dividend and declaring a full year dividend for 2015 of $2.15 per share. In pound sterling, for those here in the room today, this is around a 6% increase on the 2014 full year dividend and for those on the phone from Australia, it’s around 16% in Aussie dollars. Against the current environment, we are meeting our commitment of cash returns to shareholders. Before we move on to the 2016 outlook, let me hand over to Chris to cover the 2015 financials.
Chris Lynch: Thanks, Sam. These are a robust set of results in a pretty challenging environment. So, let’s have a look in bit more detail at what they tell us. First up, price volatility continued to be the dominant theme and it’s taken impact of declining prices on our earnings continued in the second half and led to a significant reduction of $7.7 billion for the year. There was some offset from currency, but the impact of energy costs and inflation was relatively modest. This brought us to the flexed 2014 earnings of $3.8 billion. There was a benefit from higher volumes, mainly from the Pilbara and increased bauxite exports from Weipa and Gove, but this was partly offset by lower volumes at Kennecott and in Titanium. The continued focus in the business on reducing our unit cash operating costs and exploration and evaluation costs, has made a meaningful impact of $953 million post tax. A higher allocation of interest charge to expense and increased depreciation following the completion of major capital projects accounted for the other movement. Which brings us to underlying earnings of just over $4.5 billion. Our net earnings were impacted by currency adjustments, impairments, increases in provisions and restructuring costs. Impairments impacted net earnings by $1.8 billion. At Simandou, we are finalizing an integrated bankable feasibility study for the mine, port and infrastructure, which we are due to complete in May of this year. However, given the uncertainties over the funding of the infrastructure coupled with the volatility of the current and near-term outlook for commodity prices, we have reviewed the carrying value of the asset, resulting in a post-tax impairment of $1.1 billion. Further impairments of $684 million relate mainly to the carrying value of Energy Resources of Australia, following a decision by the ERA board to not proceed with the final feasibility study on the Ranger 3 Deeps project. We also impaired the Roughrider uranium project in Canada following completion of an Order of Magnitude study. As we’ve seen in prior years, there was a major currency impact at year-end on US dollar debt held by entities with non-US dollar functional currencies, gave rise to a $3.3 billion of non-cash exchange losses with around two thirds of that coming from the weaker Canadian dollar and one third from the Australian dollar. Overall, our US dollar debt and cash flow is totally unaffected by these exchange movements. After all of that, in all, we reported a statutory net loss of $866 million. Throughout the group we have further embedded a culture of lowering costs and improving productivity. At the start of the year, we estimated that we would deliver cost savings of around $750 million for the full year. However, in the first half, we already delivered over $600 million, so we raised the target to $1 billion. We actually finished the year at $1.34 billion, achieving an even stronger outcome in the second half and 34% ahead of our revised target. It’s important to note that these cost savings exclude the benefits of falling exchange rates and also exclude the impact of lower fuel costs, both of which have also had a positive effect on our overall cost structure. Over the past three years, we’ve delivered $6.2 billion in cost savings. Obviously, it’s getting harder, but we continue to find opportunities to reduce costs and have been able to maintain strong momentum. All product groups have contributed to this impressive achievement with Copper and Coal delivering $1.9 billion and Iron Ore and Aluminium each delivering about $1.1 billion of cumulative savings. Lower exploration and evaluation expenditure contributed $1.4 billion with the balance from central costs in the Diamonds and Minerals product group. In anticipation of lower and volatile prices, over the last three years, we’ve proactively reduced our cost base and as a consequence, have maintained relatively stable margins since 2012. Later in the presentation, I’ll talk about our capital allocation model, but our aim has been to sustain our operations, to provide strong returns to shareholders, to fund compelling growth and preserve a strong balance sheet. The outcome of these actions is seen here. We have reduced our annual capital expenditure, at the same time increasing shareholder returns. Capital expenditure peaked in 2012 at $17.6 billion. By 2015, our CapEx had reduced to $4.7 billion. In 2012, with peak CapEx of $17.6 billion, only 20% of the capital we had available to allocate was returned to shareholders. But by 2015, following an intense focus on cash generation and reduction in CapEx, and of course including the $2 billion share buyback, we returned well over 50% of our allocated capital to shareholders at the same time as completing value-accretive growth projects. A sound balance sheet is fundamental to the business. It provides robustness against volatility, security of returns through the cycle and a readiness to take advantage of opportunities should they arise. In environments like these, a strong balance sheet is paramount. On a pro-forma basis, as presented at our results last year, our net debt has decreased from the $14.5 billion pro forma net debt level to $13.8 billion. In the second half of the year, our net debt barely changed, despite $1 billion of share buybacks, the $1.9 billion payment of the interim dividend, and lower commodity prices. Despite lower net debt, our gearing has actually increased to 24%. This is principally due to the non-cash impact of foreign currency adjustments, the $2 billion share buyback and impairments. Our cash balance was $9.4 billion at the end of the year, compared to $11.2 billion at the 30th of June, mainly due to the repayment of debt. In the second half of the year, we repurchased $1.2 billion of bonds, which were due to mature in 2016 and we repaid a further $500 million in maturing bonds during the course of the year. We remain in the lower half of our targeted net gearing range of 20% to 30%. With that, let me hand it back to Sam.
Sam Walsh: Thanks, Chris. Now, let me turn to the outlook for 2016 and beyond. Our position today is founded on our portfolio of Tier-1, long-life, low-cost, expandable assets. And by managing these assets wisely and getting best value for our products, we’ve reduced our costs and we’ve maximized our cash flows. Our careful allocation of capital means that we’ve delivered cash returns for shareholders and built a strong balance sheet. Our intention, is to ensure, that this foundation remains robust, regardless of external factors. In the current environment, it’s clear why a strong balance sheet and cash generation are a necessity, rather than a luxury. Signs of recovery in industrial demand are yet to emerge, and a prolonged downturn brings increased risk. Housing sales in China stabilized during the second half of 2015, but we are yet to see a turnaround in China’s construction activity. The transition to a less commodity-intensive and slower growth path, often referred as the, New Normal, is further compounded by these soft industrial trends. The recent decline in oil prices has wide repercussions. Even though we benefit from it, a low oil price clearly has a negative impact on many governments and their economies. The volatility in global financial markets reflects concern over the strength of global manufacturing and global trade and we can see this impact on emerging equity markets. Central banks are also showing uncertainty. Although the Fed increased the US interest rates in December, expectations of further monetary tightening have reduced. This all points to caution in the near-term. Global GDP is expected to expand by around 3% in 2016, however it is weighted away from industrial activity and confidence is clearly fragile. The iron ore market dipped below $40 per tonne towards the end of last year, representing an 80% fall since its peak in 2011. Domestic steel consumption in China fell by between 4% and 5% in 2015, due to its exposure to property and investment. China’s iron ore demand however was more stable, due to a combination of higher steel exports and lower scrap use. For some time, we’ve been highlighting the iron ore exits. At the start of 2015, we anticipated cuts for the year of around 85 million tonnes. We actually saw 130 million tonnes cut from high-cost production. This was on top of the 125 million tonnes of exits that occurred in 2014. So high cost supply is leaving the market. In 2016, we estimate that around 75 million tonnes of new supply will come onto the market from seaborne producers. This will be more than matched by exits. But it’s not just iron ore prices that have been impacted by recent market turmoil, prices for aluminium, thermal and met coal are at levels preceding the China boom or only briefly seen during the depth of the Global Financial Crisis. In each of these cases, strong Chinese supply and slow curtailments have exacerbated global market imbalances. As a result, prices are cutting deep into cost curves, despite significant reductions in costs, weaker currency and lower energy prices. We’ve also seen a gradual erosion of the copper price, with rising expectations of continued supply growth, coupled with weaker demand. For us, the key with all this is to maximize cash flows and defend our position of strength in the industry. Let me assure you, there is no room for complacency. So we’ll continue to take proactive action to ensure the business remains robust. Over the next two years, we will be eliminating a further $2 billion of costs. This is ambitious, but in Chris and my opinion, is an achievable target, which comes on top of the $6 billion that we’ve already removed. We’re in the process of re-phrasing and reducing our capital expenditure. And this means that we can continue to invest for long-term success. We will remove $3 billion of capital over 2016 and ’17 compared with our previous guidance. The current volatility and pricing environment demonstrates that progressive dividend policies are not appropriate in cyclical industries. Progressive policies suppress returns for shareholders in the up-cycle, and are difficult to maintain in the down-cycle. Maintaining cash flows, including dividends at their current level, would weaken our balance sheet and act against shareholders’ long-term interests. Therefore, alongside further savings in operating costs and capital expenditure, we’ve proactively put in place a new dividend policy. We believe that our new policy better reflects the cyclical nature of our industry and meets the desire that shareholders participate more fully through the cycle. In future, the Board will decide on an appropriate dividend level at the end of each financial period. However, for 2016 only, we're providing specific guidance in advance with the intention to declare a full-year dividend of at least $1.10 per share, which equates to around $2 billion in total. We're comfortable with this, despite continued market uncertainty, given the actions that we're taking. Under our revised policy, the balance between the interim and final dividend payments is expected to be weighted towards the final. Importantly, alongside our new dividend policy, the Board is committed to a capital allocation framework that will maintain an appropriate balance between additional cash returns to shareholders and investment in the business. This commitment is consistent with our track record, which Chris covered earlier. Where circumstances allow, we'll supplement the ordinary dividend with additional cash returned to shareholders. Through the cycle over the long-term, we're mindful of the total cash returns to shareholders being, between 40% to 60% of our underlying earnings. The policy leaves flexibility about that to deal with extremes and should allow for shareholders to participate more fully in the upside. We believe that this policy and framework is a thoughtful and prudent approach to delivering sustainable shareholder values, value and returns. With this, let me hand back to Chris.
Chris Lynch: When I came into this role three years ago, we had – I had three key objectives that could crystallize us to help deliver on the promised cost savings, to strengthen the balance sheet, and to improve how we allocate capital. We've made some strong progress on these, with $6.2 billion of cost savings, dramatically reduced debt levels, down $8.3 billion from the peak, and much lower levels of capital expenditure to $4.7 billion in 2015. But let me make it clear why we're choosing to change our dividend policy today, and the Board was able to make these decisions from a position of strength. Our balance sheet is in good shape, but the position of the global economy, and in particular the unprecedented volatility across the broad spectrum of commodity prices, makes it clear, in our view, that a progressive dividend is not appropriate in a cyclical industry such as ours. We continue to look to ensure that our balance sheet is robust and that returns are based more on profitability. Our 2015 underlying earnings were $4.5 billion. Now although this is simplistic, if we adjusted that number with the current consensus iron ore price alone, those earnings would have been around $2.7 billion. And that's before taking into account any other commodity prices or premia that we're seeing in the markets today. A $4 billion dividend would have represented a payout ratio of close to 150%. This is unsustainable. The volatility in the markets at the moment make it clear that we have to be conservative in our planning assumptions to ensure that we remain robust. We can't just wait for a price recovery. Hope is not a strategy. The impact of low earnings and cash flows on the financial health of the company can be rapid and so we're taking this action now from a position of strength. We don't underestimate the significance of the change we're announcing, but we must protect the value of the business. And by doing so, we can ensure that we're in a position to deliver sustainable future returns. Operating costs reductions are the most significant lever to protect the business and the cash flows, and the focus on this must remain relentless. The reductions we are targeting are becoming much more challenging, but we believe that we can take around $2 billion out of our costs base over the next two years. Further, we expect all our businesses to generate cash. Those that are close to break-even on cash must have credible improvement plans in place but, more importantly, those plans have got to be actioned. We're also targeting a step-down in the service and support cost areas. Alongside reducing operating costs and lifting productivity, we've also improved capital efficiency. We've been able to continue delivering our growth plans whilst lowering the overall capital expenditure levels. The re-phasing and optimization of our capital spend remains as vigorous as ever. In 2015, we spent $4.7 billion, $300 million below the revised guidance. We're now providing updated capital guidance for 2016 and 2017. Our anticipated spend for 2016 is now around $4 billion and about $5 billion in 2017. This is a $3 billion reduction against the previous guidance for those periods. Now 2018 guidance, provided here for the first time, is expected to be around $5.5 billion. These reductions fall into two buckets, the first is benefits received from favorable currency movements and lower prices and lower input costs, including contractors, so a price effect. The second is from detailed reviews of major project budgets, both in terms of project planning, as well as phasing of expenditure. As I said before, we only approve the best projects in our portfolio and they will all have IRRs in excess of 15%. Most of our near-term capital expenditure, both approved and some unapproved, is focused on three main projects and we're constantly seeking more cost-effective ways to deliver these projects to conserve cash and maximize returns. In the Pilbara, we've essentially finished the infrastructure build and are now looking at a much smaller spend on the Silvergrass project, and this primarily provides product quality for the Pilbara blend. It's now expected to come in below $500 million. The Amrun project team are working hard to find alternate ways to finance key infrastructure components, as well as re-phasing expenditure. And at OT, the feasibility study continues and we expect that to be completed in the first half of this year. Before getting to our capital allocation framework, I want to reiterate we're announcing a package of measures today, the first of which is further cost reductions, the $2 billion over the next two years. We're also announcing further reductions to the capital expenditure, $3 billion versus previous guidance. And we're announcing a new dividend policy and, commensurate with that, a commitment to shareholder returns. These measures are tangible, material and, importantly, they're preemptive. We make the decisions from a position of strength to protect value. We'll turn now to our capital allocation framework, which is very familiar to you. By making the changes we've set out today, we're able to ensure that this model remains robust, even in the most difficult periods. Our new dividend policy remains consistent with these capital allocation priorities. The significant addition, alongside the dividend policy, is an explicit commitment to maintain an appropriate balance between cash returns to shareholders and investment in growth in the business. This reinforces the iterative cycle set out on this slide. In the longer term, through the cycle, we're mindful of total cash returns to shareholders between 40% and 60% of underlying earnings. This is something you'll observe in the rearview mirror as we get a bit of history under the new policy. This new policy and commitment allows for resilience at times of extreme downturns and for shareholders to benefit more from the cash generated at times of commodity price strength. Careful management of cash remains at the core of what we do, ensuring long-term shareholder returns. And with that, I'll hand back to Sam.
Sam Walsh: Thanks, Chris. So let me summarize. In a challenging environment, we have today delivered a robust set of results, and we're delighted to declare a full-year dividend for 2015 of $2.15 per share. At the foundation of our business is a world-class asset portfolio and we continue to invest in growth, but only in a focused number of high-return projects. But just owning great assets is not enough. It requires a culture across the entire organization focused on cost management and extracting maximum value. The quality of our asset base is matched by the strength of our balance sheet, with net debt of $13.8 billion. And today, we've announced further preemptive action to ensure that the business remains resilient and capable of delivering sustainable shareholder returns. There is a clear intent behind everything we do to manage Rio Tinto well, not just for today, but for the long-term success and strength of your business. Now, if I could pass over to you for questions, and I'll just go and sit down and join Chris.
A - Sam Walsh: We have people on the line, so I'm intending to take three questions from the room and then take three from the telephone line, cyberspace. There is a question here first. Hang on, we are bringing a mike.
James Gurry: Thanks. It’s James Gurry here from Credit Suisse. Congratulations on a good cash result. The dividend reduction and everything seems quite defensive in preparing for -- or cautious for the future. How are you feeling about opportunities for potential acquisitions in the industry? You haven't touched on that in today's presentation, but perhaps the dividend commitment reduction might give you some opportunity to look at some of the distressed assets that might be out there. That's the first question. And just secondly, I think one of the other goals that was set when you guys took over, that Chris referred to, was strengthening the executive bench. I'm just wondering how you feel about the strength of the executive bench, and are you prepared for a smooth transition if and when you're ready to put that in place?
Sam Walsh: Okay, well, let me get Chris to tackle the first part of your question about potential M&A, and let me preempt that by saying, getting the balance right between growth and shareholder returns is important to us. And as we've mentioned during the presentation, focusing on the balance again between short and long-term, that's also very, very important. Right now, there is distressed assets that are out there and they're distressed for a good reason; high costs, low quality, no infrastructure, people trying to get rid of – I was going to say get rid of their trash, but I could never say that. But we are mindful that there could well be opportunities. And Chris, why don't you comment?
Chris Lynch: James, thanks for the question. The fundamental move really is to preserve the balance sheet and make sure the balance sheet remains robust, but you've got to recognize that it's part of a package of measures, the dividend change. The cost reductions, the capital expenditure reductions and the dividend policy are a matched set of measures. What it does it maintains a robust balance sheet and it gets away from this sort of concept of a fixed payment, no matter what. And so the Board will have more discretion about matching the dividend to earnings, to capacity, to cash flow and the balance sheet to their view of the future at any given time. But in terms of acquisitions, as Sam's mentioned, well, he didn't actually mention it; he didn't mention the bad asset sort of stuff that the trash comment.
Sam Walsh: I wouldn't have said that, no.
Chris Lynch: But the key issue really is around -- there are some very good assets in what you'd probably describe as distressed balance sheets, and they're not on the market as yet. But we've got a watching brief on a lot of things and we'll continue to do that. Whether we get to pull the trigger on anything, we'll always look at a hell of a lot more than we ever pull the trigger on. But we do have capacity in the event that we wanted to do that. It's more about, if we were to spend money on an asset acquisition, we'd want to have a path back to what our robust balance sheet would look like beyond the acquisition, and that's the metrics. But when I say that, we've got our eye on a lot of things, but nothing specific at the minute.
Sam Walsh: Thanks, Chris. And let me emphasize that we also have a clear focus on exploration. Exploration in the past has provided us with a number of the high value assets that we've got. We continue to have our commitment to exploration and the opportunities that that would provide. Certainly in the area of copper, as Chris said, if there was an attractive project in that area, that could be of interest to us, at the right price or right value. In relation to the second part of your question, about strengthening the team and transition ultimately, we've got a very, very strong team. I have an excellent executive committee team and, quite frankly, you don't deliver the sort of results that we've mentioned today through just Chris and I, it's through the whole team. I've got Hugo and Debra and Jean-Sebastien here today, members of our ex co. During the coffee break, have a chat with them. They have a very good understanding and knowledge of the total business, despite their own particular specialties. This is important, and this will provide succession and transition for the business, as I get closer to retirement. At this stage, it's not a topic on the agenda. Personally, I'm loving what I'm doing. I believe I'm delivering value. And I've said to the Board, the timing is as it is, however short or however long it is, I'm here to deliver value to you, our shareholders. Do we have another question? Jason, why don’t we take it? Everyone will get a chance, so don’t feel that you’re going to be left out.
Jason Fairclough: Hi, Jason Fairclough, Bank of America Merrill Lynch. Just a sort of more general question on the sustainability of the business, and you've talked, Chris I think I heard you three times, doing this from a position of strength. If we look at the dividend you're talking about for 2016, it still looks pretty close to 100% payout ratio for 2016. Now maybe that's a bridge here, but that still doesn't feel that sustainable to me. If I then look at what you're spending in terms of CapEx, it's much less than depreciation, particularly if I look at your sustaining CapEx. So I guess the question is, do you feel like the business is stable here? Do you think it's sustainable, as you've set it up today?
Sam Walsh: I'll let Chris answer but, clearly, the answer to that is yes. We are coming from a position of strength, a strong balance sheet, Tier 1 assets, a very focused organization, and we have taken the three proactive steps today to ensure that we retain that. Certainly 2016 underpinned dividend is a transition, but I believe that that is a fair way of proceeding forward with the revised policy. Chris?
Chris Lynch: Well, just a very brief comment on the transitional arrangements for 2016. Coming off the progressive, we've had pretty much absolute certainty under the progressive dividend about the minimum level of the dividend. And so the Board discussion focused around the fact that we were taking people from virtual certainty as to that minimum and onto a more variable basis. So the transitional arrangements apply to 2016, and we think that's a fair transitional arrangement into the new policy. The other thing to observe on the dividend is that the weighting, we mentioned in the speech, but the weighting will be toward the final dividend. So in the past, we've have that mechanistic half of the prior year's final dividend, or full-year dividend. We're moving away from that to a weighting toward the final dividend. If you think about that logically, it's pretty obvious that, once the final results are known, is the time when you can get absolute precision about exactly where the dividend is going to be pitched. So they're the transitional arrangements, and we'll see where the numbers come out. I'm sure all the analysts in the room will have a slightly different view about exactly what the numbers are, but I take your point. The second part of your question was about the sustaining capital, and we are in a sweet spot at the moment with regard to the absolute dollar level of the sustaining capital. We're in a very favorable, for us, price environment for that sort of activity, and we're coming off the back of having recently completed some major expenditure projects, some major growth projects. So we're depreciating – sorry, those growth projects are actually built in a period of fairly heavy price inflation in the construction costs of those projects. So we've got probably a slightly favorable cost structure for the activity; we've got slightly less activity because of the newness of some of the assets; and we've got a higher depreciation, based off the back of recent capital expenditure. So over time, that activity level will increase, and the price will go wherever the price of it goes. But it'll probably be more activity in the future and probably at a different price level. The guidance we've given today assumes that we stay at or around the $2 billion for the next few years. I think that's quite comfortable -- well, I say comfortable, it's tight but it's manageable. But longer term, I think you do revert back more to something like depreciation and sustaining capital probably getting closer together.
Sam Walsh: Thanks, Chris. Just to wrap up on that, in terms of sustainability, that's really the basis of everything that we're talking about today; to ensure that we maintain the strength of our balance sheet and the robustness of the business. There's no question as you look forward, as we come out of this down cycle, we will be in a very, very strong position to capitalize on the long-term growth for the commodities that we supply. As the world continues to develop, urbanize, industrialize, there is basically nothing that people use on an everyday basis that can be produced without using our materials, even down to the iPhone that's in your pocket. All of these require us. Do we have another question in the room?
Myles Allsop: Myles Allsop at UBS. Just a few quick questions. First of all, with the new dividend policy, I mean you've got your washing machine chart, and that says ordinary dividend is a second priority after maintenance CapEx, but you are now not prepared to put any kind of floor to the 2017 dividend. Can you imagine any scenario where Rio Tinto won't pay an ordinary dividend, so as we look beyond this year into 2017? Secondly, just on your longer-term iron ore demand outlook, has that changed or are you still as bullish as you were last year at the Iron Ore Seminar? And then thirdly, could you just give us a sense what free cash flow the Pilbara is generating at spot commodity prices? With freight at $3, with $13 C1 cash costs, I suspect there's a substantial amount of free cash flow that's been thrown off that business. Thank you.
Sam Walsh: Perhaps, if I let Chris pick up the first and third question and if I pick up on long-term demand for iron ore. But, Chris, perhaps on the 2017 dividend and washing machines and so on?
Chris Lynch: Well, the question was around can we envisage any situation where we wouldn't pay an ordinary dividend. I think it's highly unlikely, but --
Sam Walsh: A board decision.
Chris Lynch: Yes, it's always going to be a board decision and I guess we've given guidance no further than the 2016 transitional arrangements, but should I think it's highly unlikely. With regard to the Pilbara free cash flow, I think the easiest steer we can give you there is, you know the volume. We've given you the volumes, we've given you what the spot cash costs would be today. And without going any deeper than that, I think you can probably figure that out for yourself. The CapEx requirement for Silvergrass is going to be much lower as we are seeing it today. So it's coming through on a pretty solid basis.
Sam Walsh: In terms of long-term demand for iron ore, we still have confidence in this. As I mentioned, as the world continues to develop, urbanize, industrialize, whether it's China, the ASEAN nations, India, Middle East, South America, Africa, all of these regions will require iron ore and steel as they urbanize. I think there are some aspects that people are overlooking in relation to the impact of infrastructure spending basically across the world, but certainly in the ASEAN regions. The One Belt, One Road, the new Silk Road, the Asia Infrastructure Investment Bank and so on, is very much focused on opening up trade and opening up ports and infrastructure and, of course, all of this will require steel. So we're going through a transition period. Nobody quite understands what the new normal means when President Xi Jinping mentioned it, but I think he mentioned that – it means that things are not going to be quite as they were in the past and that we need to adjust to it, we need to be responsive to it. And that's exactly what we're doing, both in terms of our profile for iron ore future production, but also in terms of what we're doing in terms of repositioning the business today, in terms of further improvements to our cost, further reductions to our capital, and a revised dividend policy. With that, let me take a question from the telephone lines if, operator, you could help me?
Operator: No problem, sir. So we will take our first question from Clarke Wilkins, Citi. Please go ahead. Your line is open.
Clarke Wilkins: Good evening, Sam. Just in regards to the iron ore side, just with Silvergrass, that $500 million I think was mentioned as what the sort of updated CapEx came in under, that's in the sort of the growth projects rather than the stay-in business CapEx? And also, just in terms of stay-in business CapEx for the Pilbara, on a dollar per ton basis where does that set out for the cost reductions? And finally, just in regards to sort of with Silvergrass, where does that get you towards filling up your infrastructure capacity of 360? And how does the current thinking about when Koodaideri is required to keep that running at 360 in the future?
Sam Walsh: Well, that was a good half a dozen questions. Let me perhaps pick up on those. Silvergrass, I think, as you know, we have actually already started Silvergrass in a trucking operation through to the Brockman 4 plant. It was nicknamed by the iron ore folk NIT2, Nammuldi incremental tonnes 2, and it's actually a trucking of Silvergrass product, around 10 million tonnes, into Brockman. Silvergrass is all about maintaining the Pilbara blend and retaining the specification quality, whatever you want to call it, grade of the Pilbara blend product. Pilbara blend is critical to us in terms of optimizing our products. As you are aware, we blend 13 of our products to produce Pilbara blend to optimize iron content, phosphorous silica, alumina and so on. And that enables us not only to provide a base for the foundation of burdens for the steel blast furnaces, but also it underpins the price establishment in the spot price being such a major element in the iron ore seaborne trade. So it's an important element, because let me emphasize that bringing on Silvergrass is aimed at maintaining spec, not bringing on extra tonnes. And although we have announced that we now have 360 million tonnes of infrastructure capacity, rail and port in the Pilbara, at this stage, we're not taking full usage of that. And this is really phasing the implementation to more match the market for iron ore. In relation to cost per tonne, Silvergrass will be highly competitive against our existing operations and, in fact, the project has a very, very good return. In relation to Koodaideri, Koodaideri is a future prospect for us. The iron ore team are looking at exactly when we should implement Koodaideri with the view to continuing to push that out for as long as we can. Do we have another question on the line?
Operator: We will take our next question from Lyndon Fagan from JPMorgan. Please go ahead your line is open.
Lyndon Fagan: Thanks very much. Just with the dividend cut, there's obviously a lot more available free cash flow, yet the Pilbara isn't running at 360 which is what your infrastructure capacity is. Given the cost reductions in the Pilbara and the attractive margins there, why not accelerate a bit of that production to utilize that latent infrastructure? That's the first question. Then the next one is just on coal. You've obviously sold Bengalla, now Mount Pleasant. Should we expect further exits of coal assets or are you committed to retaining a presence in coal? Thanks.
Sam Walsh: Chris, do you want to pick up this?
Chris Lynch: Yes, okay. Yes, Lyndon, thanks for the question. The issue regarding the infrastructure, I think before we were to commit to capital expenditure, we've obviously got a big opportunity there with productivity gains, and that's our primary focus. We've got the Silvergrass projects, the one coming through and, as Sam explained, that's got as much to do with product quality as it has to do with maintaining the volumes. It doesn't really add much volume. But I think we've got an opportunity there to take advantage of that surplus infrastructure capacity to see what productivity we can get out of existing operations. With regard to coal, as you rightly point out, we did have the two disposals that have been in the market recently, the Bengalla and then the Mount Pleasant project circa $800 million of value recycled out of the balance sheet. Other than that, we've now got pretty much the best thermal coal assets in Australia. If you want to call them a good house in a bad street, that's probably not a bad description of the state of the market at the movement. So we're going to run those for optimizing cash flow and earnings. And it's important for our team that they get focused on making sure that they optimize those operations. If someone wants to come along and pay us more than they're worth, or more than we think or a price that we think is a good price, then we'd entertain that. But, at this stage, we're running them for value and for cash and profitability.
Sam Walsh: Thanks, Chris. Do we have one more question on the line at this stage?
Operator: Our next question comes from Brendan Fitzpatrick from Morgan Stanley. Please go ahead.
Brendan Fitzpatrick: The first question relates to a comment that Chris made with regards to all the assets need to contribute to the group and I think the phrasing was a credible improvement plan. Could I confirm that that means something more than just a cash flow breakeven that there's a positive contribution and if so, what timeframe do assets have to deliver this credible plan?
Chris Lynch: Well, the plans are in place. The timeframe, we think probably six months is a reasonable timeframe for someone to demonstrate progress against the plan. It's something that -- there will be idiosyncrasies against any of these assets that will have to be considered. So it's not cut and dried, but what we've got is a focus on making sure that each and every asset in our portfolio can generate cash. That's the first priority. We'd like them all to generate absolute profit and the like as well, but that might be a second step in some cases. So we've got work underway, we've got a very deliberate process going on about it and we'll update the market when there's something to update about.
Sam Walsh: Was there a second question there?
Brendan Fitzpatrick: I've got a second one as a follow-up. The capital expenditure for the now started calendar year ‘16 has about a quarter of it unallocated. Is there scope that elements which can be not spent and, therefore, we have a lower CapEx? Or is it just projects which are still pending approval?
Chris Lynch: More the latter than the former. The projects are well and truly identified and sort of expected, but not yet finally formally approved by the board.
Sam Walsh: So, for example, Silvergrass at this stage is not approved, probably expecting that midyear, similar timing for OT underground. Do we have a question in the room? Rob?
Rob Clifford: Hi, Rob Clifford, Deutsche Bank. Nice change to the policy, by the way but my questions are on that. Over the years, the defense of the progressive dividend policy has been because that's what shareholders are telling us they want. So does this change mean that you're getting now a different message from the shareholder base, or the board has taken this decision separate from the shareholders? And secondly, probably more for Chris. this change in capital allocation, what - so we've got the front end of what it means to the shareholders in terms of dividends? In terms of your team, Chris, and the strategic going forward, how are you changing the systems internally to match, or how has the thinking changed internally in terms of the investment process, the buybacks versus acquisitions, etc?
Sam Walsh: Firstly, if I could answer on the dividend policy and, Chris, if you could pick up on the capital. I think that it would be true to say that there is no definitive view from shareholders as to exactly what the policy should be, except that, A, a strong balance sheet is important for the business and, secondly, that we’ve recognized that the market realities. Of course, there's also been a lot of criticism of progressive dividend in a cyclical industry. I think the action that we've taken, and not only on dividend policy, but on operating costs and capital, it is actually a proactive step, recognizing the market environment that we sit in. And, quite frankly, it's not just a situation that Rio Tinto sees itself in, the entire commodity industry does, oil and gas does, various aspects of agriculture and banking, need I tell you, and a whole range of areas. And as you said in your opening comments, we need to be responsive to that. We come from a position of strength. It's critical that we maintain that strength. It's critical that we get the balance right so that we maintain a strong balance sheet, while actually taking proactive action internally in terms of what we are doing to contribute to that. I don't think anybody in this room actually predicted that commodities, oil and gas, and so on, would be where it is today. More importantly is that we take proactive action that in a way, you can say that we're taking a leadership action. But we're taking proactive action to ensure the strength of the business going forward. And having a strong balance sheet is fundamental to what we do. Chris, capital allocation.
Chris Lynch: Yes, well, in terms of internal process and systems and the like, I think it probably has its genesis really in the overall focus on cash. So any project now will have to go through a fairly rigid project planning, but also ways of optimizing the cash outflows on the project in terms of what's the best way and timing to spend that money. Regarding the dividend, and we've talked before about some of the changes we've put in place over the last couple of years, with things like the evaluation committee, prior to investment committee, prior to board, et cetera, so I think that rigor is just being reinforced. And I think that we've got people on various committees that are adding to things like ore body knowledge and so on, which are things you should be - I think you're entitled to assume that we do that and do that well. And we've now got it in place that we should be able to do it well. With regard to the capital allocation framework, I think that actually works better under the revised policy because, as we're planning any sort of period, we can look at – the sustaining capital can be fairly direct and fairly accurate as a format. There will always be an estimate about what the ordinary dividend would look like. And then the real part of the thing becomes far more vibrant in terms of other forms of return over and above any ordinary dividend. So it might be a special dividend, it might be a buyback, but it'll be situation specific as to what the total form of the overall returns to shareholders would be in any given period. So that's the intent of the thinking. There would be an estimate plugged in for the dividend, there would be an estimate plugged in for growth CapEx, there would be a view about where we are with the balance sheet, there would be a view about do we have capacity for further returns. And that will become a bit more iterative than it was in the past even.
Sam Walsh: I think just coming back to the dividend point, it is important to recognize that the board represents shareholders and is elected by shareholders. And they have a very strong focus on maximizing shareholder returns, given the economic circumstances and that's what physically drives them. If you look over the past five years, Rio Tinto has generated $25 billion of shareholder returns. If you look at the 2015 result, the board has maintained the commitments, the expectations that you had of a full-year dividend. Recognizing the transition to the new policy, the board recognizes that there was a need for a stepping stone, and that's the underpinning of the 2016 dividend with providing at least $1.10 of dividends per share. So I think that we're recognizing the realities of the market. We're responding proactively to that. We're watching what our competitors are doing, but we're playing our own game. We're playing what actually suits us and will deliver maximum returns to shareholders over the short and longer term. Do we have another question in the room?
Fraser Jamieson: Hi, Fraser Jamieson from JPMorgan. A quick question again about the dividend and a bit of a follow-up on Chris' answer just there. In terms of how certainly income-focused investors think about investing in Rio going forward, the split in terms of the total shareholder returns is going to be important to them. Presumably, there is a thought, even though you're moving away from a progressive policy, that you probably don't want the ordinary dividend being massively volatile in the first few periods at least. So there must, I would have thought, have been some thinking and discussion in the Board and management around how that split looks from 2017 onwards in terms of where that ordinary dividend kind of splits out. Now, I know you're not going to give us forecasts around what the earnings are, et cetera, et cetera, but some idea and some context around the discussions on the split between the ordinary dividend and the top ups to shareholder returns would be great.
Sam Walsh: Thanks, Fraser. You're certainly right, there was a massive amount of discussion, as you would expect. But, Chris, why don't you try to summarize it?
Chris Lynch: I think the first conversation is really about total returns. And I think the one point under the new policy is, whilst there will be variability; there is capacity for greater participation in the up cycle of the process. And a view and a commitment really of a balanced approach, I'm not saying 50/50, but a balanced approach to allocation of growth capital and allocation of returns to shareholders. And I think the precise form is always going to be a situation-specific conversation whenever the decisions are being made. So you rightly point out that I'm not going to give you a forecast for 2017 and beyond and so on. But you've got all your own numbers; you can play with that a bit from here. But the key will be the primary ordinary dividend and then there will be the capacity for further returns. And the form of those can vary between a bigger ordinary, a special, or there may be buybacks involved. But a total return to shareholders will be the first decision, and then the second decision will be about the form of them.
Sam Walsh: Thanks, Chris. Another question in the room?
Paul Gait: Paul Gait, Bernstein. Two questions, if I could? The first is, you mentioned every asset earning its own way but then, with regard to, say, Kennecott, at spot, it doesn't have any benefit of the US dollar exchange rate, being a US asset. At spot prices, I make it cash flow break-even, if not negative and you're investing $600 million in the life of mine extension. So on that basis, did you ever consider deferring or cancelling that, given that the incremental spend is still all in front of you for that pushback? And second of all, based on that, do you have any estimate for what the future operating costs of Kennecott post that life of mine extension will be to put it in a position where it will justify its inclusion in the portfolio?
Chris Lynch: Paul, thanks for that. JS is in the room and you might collar him at the tea break and give you more granularity. In terms of the first issue, Kennecott is a cash positive asset for us. It's also earning further cash from processing other concentrates through the smelter and so on. The issue regarding the CapEx profile at Kennecott is twofold. There's some work going on to continue the de-weighting of the east wall, and there's further projects for the south pushback. The south pushback is something that is under review for whether we can do a different phasing of it and those sorts of issues, but that's the ordinary course of business there. Going forward, I think it is one where we've got a period here where we've got a long-term view about the ultimate life of Kennecott being extended significantly by the south pushback. So that's one where you'd have to have a balanced view about the immediate versus the longer-term benefit of it and what would be the transitional arrangements if you were to do something different. But I'd recommend you burn JS' ear after the process.
Sam Walsh: Okay. Let's move back to the phone lines. We have another question.
Operator: Our next question comes from Luc Pez from BNP Paribas; please go ahead, your line is open.
Luc Pez: One question; maybe when you discussed M&A and you're focused on Tier 1 copper assets, do you mean by this that you're more attracted by existing producing assets? Or would you also consider Tier 1 projects? Or, let's say, does the experience of Oyu Tolgoi has somehow cooled your appetite for such large projects?
Sam Walsh: I think our focus with acquisition will be primarily looking at operating assets that are generating cash flow. Of course, we have our own development projects in the pipeline, as you mentioned correctly Oyu Tolgoi underground, but also, the Resolution project and the La Granja project are two further copper development projects that we have in our portfolio. Do we have another question on the line?
Operator: Our next question comes from Hayden Bairstow from Macquarie. Please go ahead.
Hayden Bairstow: Just had a follow-up question on iron ore. Just interested in your comments around defending the Pilbara blend, and not overly concerned on volumes. Just touching on the non-Pilbara blend stuff, particularly Yandi, you've got a mine life now to 2021; is there a plan to spend more capital there in the three-year window, given it's going to be another two- or three-year build to push it beyond 2021?
Sam Walsh: Yes, you're right, Hayden, in relation to our iron ore products in the Pilbara. We certainly have Pilbara blend, we have Yandi, and we have the Robe Valley product. With Yandi, there are, certainly, further options for us beyond the life of the existing projects and that's, certainly, things that we'll be looking at down the track. They're not immediately in the pipeline but, of course, with our valuation work, we're continuing with our infill drilling and exploration work around existing operations. The world is a very different place when you're producing about 1 million tonnes a day coming out of the Pilbara. We need to ensure that we are, in fact, front loading the system with this drilling program. Do we have another question on the line?
Operator: Our next question comes from Paul Young from Deutsche Bank. Please go ahead, your line is open.
Paul Young: Chris, a few questions for you, and now that I know J-S is in the room, this is pretty relevant. Just on your CapEx guidance, your $2 billion drop in 2017, that's huge, that's a big number. Part of this is FX, part is lower contractor rates, I understand that, and you've given a lower number for Silvergrass. But have you assumed any savings on the OT underground, due to the lower CapEx environment? That's question number one. The second question's actually on Escondida. For me, this is actually a massive standout in the second half; reported EBITDA just $89 million during the December half, and costs were well above what we’ve been guided on a recent site visit. So just wondering if you have any sense to why that was. Thank you.
Chris Lynch: Well, if I address the first one. The CapEx guidance anticipates Oyu Tolgoi as we have it today, as we think we know the level of cost today. That feasibility study is still ongoing, and so it is being reviewed very, very thoroughly as to whether or not we can get a different outcome on the CapEx requirement. With regard to Escondida, you were on the site visit. We weren't permitted to go on that site visit; not quite sure what the dialog was. But I think the rapid drop in the price on copper, over the last period, has obviously had an effect. And J-S, would you have any particular granularity about --?
Jean-Sebastien Jacques: The main impact of Escondida in H2 was credit related, and that's the driver why the EBITDA dropped. We expect that, as and when the desal plant comes online in early 2017, we'll come back to normal production level and normal cash flows.
Sam Walsh: Thanks very much. Thanks, Chris. Let's move back into the room with Q&A.
Menno Sanderse: Menno, Morgan Stanley. Just two brief questions. The first one is on the price deck and the assumptions behind it, and the comment made earlier. The Board would, clearly, not be human if they did not push back harder on the numbers that the Executive Board brought to them about long-term demand and price decks, and all that kind of stuff. Can you talk us through what discussions have taken place, and if changes have been made to this long-term outlook, especially with Chinese consumption of steel now shrinking, as you said, 4% to 5%, and no change in sight? And if no changes have been made, why not? Why react in the way you did with the dividend, the CapEx, and the cost, which makes total sense, but not on the assumptions underlying all of it?
Sam Walsh: Okay. Let me pick that up. Certainly, as I said, there were significant discussions with the Board on the outlook and on our dividend policy. And the Board, quite rightly, expected that management would put forward a combination of target areas to improve the outlook for the business. There's no question that, as an organization, we were surprised with the drop; the extent of the drop surprised us in the fourth quarter of last year. And I think that raised interest, concern from the Board, in regarding to the volatility that we're seeing in the marketplace, and ensuring that we maintain the strength of the dividend -- sorry, of the balance sheet, but also providing shareholder returns and growth. It is volatile; our economics people, I think for the last three months of last year, revised their outlook, short-term outlook, each month and it was only hitting in one direction. As you know, in the short-term period, two years, we use a combination of spot and analyst views on pricing as the basis of our short-term view and it's been very, very volatile. In relation to our long-term look at the market and pricing, we do that progressively during the year. The team can't review everything monthly; they clearly have to develop a schedule and work through that. But quite frankly, the Board's focus was more on ensuring that we move solidly through the downturn cycle, rather than necessarily focusing on the long-term view. I think it was also driven by the fact that a number of people have criticized a progressive dividend policy in a cyclical industry. And that criticism I think was worthy, that it works to an extent in the up cycle; it could work to limit shareholder returns. But in the down cycle it becomes very, very difficult, and that's really why the Board has made the call that it has. Do we have another question in the room?
Menno Sanderse: Is there room for one follow-up?
Sam Walsh: Yes, sure.
Menno Sanderse: Very briefly on the -- it's a slightly difficult one to answer maybe, but how did the Board come to $2 billion to $3 billion of growth CapEx as the right number? Was that based on this is the cash flow available, or these are really unbelievable projects, or these are projects we can't really get out of because we may lose our license to operate? What's been the balance?
Sam Walsh: Well, obviously, the capital that's put forward was put forward by management as the projects that we see necessary to continue growth. If you look at the three projects they do have very good return. If you look at Amrun, South of the Embley, half of the project is actually replacement tonnes; as we move to the end of the life of East Weipa we do need to have replacement tonnes. The optimum, the best option, for that is South of the Embley, Amrun, and to operate that you need to put in new infrastructure; you need to put in a new port, and other infrastructure facilities. Once you do that, with the expectation of growth in the bauxite market, the export tonnes become very, very attractive. Amrun, as I've said many times to you, is one of our very best projects, but it's also required to actually maintain the replacement tonnes for East Weipa. Silvergrass, particularly with the low capital that the iron ore team have developed, and we're challenging them to further improve that, again it's a very attractive project, but it's required for us to be able to maintain the specification of the Pilbara blend. There is huge value associated with maintaining the spec, maintaining the relativity of Pilbara blend. It also means that we also optimize our capital facilities in relation to a number of stockpiles that we require at our ports, in relation to the ability to be able to swap product from the Dampier East Intercourse Island port structure and the Cape Lambert port structure. So it means we have a very robust, very consistent supply there. Oyu Tolgoi again is a highly perspective project; we have already commenced work on the underground. I think, J-S, we've already invested around $1 billion, or half of that, sorry, it seems like a big amount, $0.5 billion on OT at the time that we stopped the project due to concerns that the Mongolian Government might actually change the basic agreement. We went through a 2.5 year hiatus period whilst J-S and the team negotiated, and I think that a good, fair and equitable agreement has been struck that enables the project to go forward. We do, as you know, we have binding commitments from some 25 banking institutions for the project finance for the project. Our view is, looking at copper going forward and looking at the difficulty that people have bringing on copper projects, that OT underground is going to be a very important part of copper supply, going forward. It's really a combination of those factors that the Board has taken into account. Of course, the Board will individually approve projects as we bring these forward. I'm expecting that both Silvergrass and OT will go before the Board around midyear. But the same process works across the entire organization, whether in fact it's sustaining capital, or development capital, depending on approval levels and amounts it goes through the same process. So even though we develop an annual plan for the organization, there is no capital amount, no project, that is actually approved as a result of that. Business units still have to develop a business case, and prove that the project is in fact attractive and one that we should be investing in. I think we've probably got room for one more.
Ben McEwen: Ben McEwen, CIBC. Over the course of the year, we saw a contraction in the equity book value of the Company of about $10 billion; part of that was obviously driven by the dividend, but also by impairments and currency movements. I was wondering what the scope for replication of that impairment and currency move trend is into 2016, and then the associated implication of that on the gearing ratio. Thanks.
Chris Lynch: That's a good point. I think the one you missed out on in your causes was the buyback as well. But this is something that we've got to watch; it's the currency one in particular, given that it's not a -- we get the benefit into the operating cost side of things, and the manifestation of that coming through. And the fact that that can vary from balance to balance is a bit of a problem for us in that regard. We'll be looking at ways that we can minimize that volatility, but we have it as an outcome in that process. But it's not something that we get overly concerned about, because the underlying US dollar debt and the underlying US dollar interest cost is unchanged. There's no real economic impact to it. It is something that we can monitor and watch, but as you saw in the start of the day, it's probably cost us as least 1 percentage point, maybe a bit over 1 percentage point, in that regard. It is something that we're monitoring, but not a hell of a lot we can do about it, and then the question would be what would be a response if it took us too far. I think this has been a pretty heavy period with the Aussie dollar, but not only the Aussie but the Canadian dollar was probably the bigger impact of the two.
Sam Walsh: Thanks, Chris. If I could thank everybody for being here today, and thanks for those that are on the line. We've announced today strong results in a very challenging environment, and I hope that our presentation provided you with a focus that we're not sitting back resting on our laurels, we're an organization that's very focused in taking proactive action, an organization focused on the future, ensuring that we can continue to provide long-term sustainable returns to our shareholders. Thank you very much.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.